Executives: Steven T. Plochocki - Chief Executive Officer, President and Director Paul A. Holt - Chief Financial Officer, Principal Accounting Officer and Executive Vice President Daniel J. Morefield - Chief Operating Officer and Executive Vice President Monte L. Sandler - Former Executive Vice President of Nextgen Practice Solutions Gary Voydanoff - 
Analysts: David Larsen - Leerink Swann LLC, Research Division Glen J. Santangelo - Crédit Suisse AG, Research Division Michael Cherny - ISI Group Inc., Research Division Jeffrey Garro - William Blair & Company L.L.C., Research Division David K. Francis - RBC Capital Markets, LLC, Research Division George Hill - Deutsche Bank AG, Research Division Mohan A. Naidu - Stephens Inc., Research Division Ricky Goldwasser - Morgan Stanley, Research Division Gavin Weiss - JP Morgan Chase & Co, Research Division Donald Hooker - KeyBanc Capital Markets Inc., Research Division Bret D. Jones - Oppenheimer & Co. Inc., Research Division Sean W. Wieland - Piper Jaffray Companies, Research Division Eugene Mark Mannheimer - Topeka Capital Markets Inc., Research Division Eric W. Coldwell - Robert W. Baird & Co. Incorporated, Research Division David H. Windley - Jefferies LLC, Research Division Garen Sarafian - Citigroup Inc, Research Division Jamie Stockton - Wells Fargo Securities, LLC, Research Division
Operator: Welcome to the Quality Systems Inc. Fiscal 2015 Second Quarter Results Conference Call. Hosting the call today from Quality Systems is Steven T. Plochocki, President and Chief Executive Officer. Today's call is being recorded. [Operator Instructions] It is now my pleasure to turn the floor over to Steven T. Plochocki, President and Chief Executive Officer. You may begin.
Steven T. Plochocki: Thank you, Lori, and welcome, everyone to Quality Systems' Fiscal 2015 Second Quarter Results Call. With me this morning are Paul Holt, our CFO; Dan Morefield, our Chief Operating Officer; Monte Sandler, our Executive Vice President of RCM Services; and Gary Voydanoff, Executive Vice President of Sales and Marketing. Please note that the comments made on this call may include statements that are forward-looking within the meaning of securities laws, including without limitation statements related to anticipated industry trends, the company's plans, products, perspective and strategies, preliminary and projected, and capital equity initiatives to the implementation of potential impacts of legal, regulatory or accounting principles. I'll provide some opening comments and then turn it over to the team. Our revenue for the fiscal 2015 second quarter reached $120.5 million, an increase of 9% when compared to $111.1 million reported in the same period last year. Net income for the 2015 second quarter was $4.8 million versus $10.1 million, a decrease of $5.3 million from the 2014 second quarter. On a GAAP basis, fully diluted earnings per share was $0.08 in the fiscal 2015 second quarter versus fully diluted earnings per share of $0.17 for the comparable period 1 year ago. On a non-GAAP basis, fully diluted earnings per share for fiscal 2015 second quarter was $0.13, a decline from $0.22 reported in fiscal 2014 second quarter. During the quarter, the company's pipeline grew to $161.8 million, improving for the 8th consecutive quarter. A quarter -- at quarter end, the company's liquidity position was strong with $123.5 million in cash and investments. During the fiscal 2015 second quarter, we saw marked improvement across all fronts of the organization. The significant progress we're making is having a cumulative effect, which is creating a positive momentum in our business and our results. We continue to realize results from the initiatives we have put into place over the past year, including the restructuring of many functional organizations, the cross-selling of products and services and the release of new solutions that cater to the evolving health care marketplace. Revenue cycle management, population health and interoperability are all among the key areas that are impacting the company's sales and marketing efforts in terms of both new net deals and as well as cross-selling across our client base. All these strengths are putting us in a position for some good momentum heading into the second half of this fiscal year. Our Board of Directors declared a quarterly cash dividend of $0.175 per share on the company's outstanding shares of common stock, payable to shareholders of record as of December 12, 2014, with an anticipated distribution date of January 2, 2015. The $0.175 per share cash dividend is pursuant to the company's current practice to pay a regular quarterly dividend on the company's outstanding shares of common stock subject to board review and approval, and establishment of record and distribution dates by the board prior to the declaration and payment of each such quarterly dividend. So we're very positive about the progress we're making, and we like the track that we're on. And now I'll turn it over to Paul, who will take you on a deeper dive into our financials, and then he'll turn it over to the rest of the team, who will provide some in-depth color on all the progressive areas in that we're engaged in today. Paul?
Paul A. Holt: Thanks, Steve, and hello, everyone. Our consolidated revenue of $120.5 million, represents a new record for the company. So we're proud to be able to announce that. The principal driver of our revenue increases, both on a year-over-year and a sequential basis, have come primarily from services revenue, which is mostly ongoing and recurring. This category as a whole grew 13% to $99.2 million from $87.7 million in the year ago period. The largest contributors within this total were EDI, maintenance, revenue cycle management, consulting services, SaaS and other subscription-based revenue streams, which also includes our Patient Portal product. Subscription and SaaS-related revenue included in other revenue grew 119% to $6.8 million compared to $3.1 million 1 year ago. The biggest driver of this growth coming from our Mirth acquisition as well as continued growth in the customer uptake of our Patient Portal, which you will hear more about later on in this call. We expect to continue to see this type of recurring revenue stream grow in significance in terms of revenue contribution going forward. This has been as a result of continued momentum in our suite of interoperability and population health solutions, which have both license-based and SaaS-based offerings. Our total bookings of software and services using an annual run rate of services or subscriptions sold during the quarter was $40.9 million. That's up from $36.6 million last quarter and up from $37.2 million 1 year ago. This quarter, we are also introducing a new measure of bookings, which includes the full contract value of our agreements as opposed to the annual run rate. Our total bookings based on this measure was $66.3 million versus $50.4 million last quarter and $61.3 million 1 year ago. I would note that this does not include a significant long-term agreement with our key customer, Capital Women's Care, which is in the range of $80 million over a 10-year period. Overall, gross profit in terms of dollars grew $2 million on a sequential basis and was up $0.3 million versus 1 year ago. Our consolidated gross profit margin as a percentage of revenue came in at 53% versus 52% last quarter and 57% 1 year ago. The decline in gross margin versus the year ago period reflects the shift in revenue mix towards recurring revenue streams, including EDI and RCM, which have lower margins, compared to software revenues as well as a higher amount of amortization of previously capitalized software development costs included in our cost of software. SG&A expenses remained flat at $38.7 million compared to last year's $38.6 million. We benefited from a comparatively lower amount of bad debt expense, which declined by approximately $1.7 million on a year-over-year basis. Contributing to our lower bad debt expenses was a significant improvement in turnover of our accounts receivable. Our turnover of accounts receivable days sales outstanding declined to 81 days from the current quarter compared to 115 days 1 year ago. Offsetting the lower bad debt expense was an increase in marketing as well as other corporate and overhead costs. R&D operating expense increased to $16.9 million versus $7.6 million 1 year ago, reflecting both increased investments as well as a smaller percentage of expenses being capitalized. R&D expense as a percentage of revenue was 14% versus 7% 1 year ago. Our total investments in development increased to $20.4 million compared to $15.6 million 1 year ago. It's important to understand that a significant driver of our increased R&D expense compared to last year is simply the result of a smaller percentage of our investments and development being capitalized compared to 1 year ago. We capitalized approximately $3.5 million in development costs this quarter versus $8 million 1 year ago. The decline in capitalized software costs was driven by several factors, including the timing of projects reaching technological feasibility and the cessation of capitalization in the hospital business due to the impairment of all of our intangible assets that we recorded at the end of last fiscal year. The increase in R&D expenses overall reflects our continued commitment toward our product offerings, both new and existing, and we're very excited about the opportunities to continue to leverage the interoperability technologies into our product roadmap moving forward. You're going to hear more about that from both Dan and Gary later. Our effective tax rate for the September quarter was 35% and that's unchanged compared to 1 year ago. The current year continues to reflect no expected benefits from the R&D tax credit as we continue to await congressional reinstatement of the benefit. Call your congressman. On a GAAP basis, fully diluted earnings per share for the fiscal 2015 second quarter was $0.08, a decrease from $0.17 per share reported in the comparable period -- quarter 1 year ago. On a non-GAAP basis, we reported $0.13 compared to $0.22 1 year ago. Our year-over-year decline in both the GAAP and non-GAAP earnings per share were primarily driven by the increased level of reported R&D expenses combined with the shift in our revenue mix, resulting in lower gross margins as a percentage of total revenue. On a sequential basis, both GAAP and non-GAAP earnings were unchanged as higher revenue and gross profit was offset by relatively higher amount of bad debt expense and SG&A and increased investment in R&D. As Steve mentioned, our cash and cash equivalents plus marketable securities ended at $123.5 million, that's up $7.1 million from the $116.4 million that we started the quarter with, again, driven by strong collections performance. I'm going to move over to discussing the segment figures and then the other -- some of the other figures that I typically give out this time of the call. Detailed segment revenue. Starting with ambulatory, it was $93 million compared to $84.7 million 1 year ago. Hospital, $4.2 million compared to $4.7 million last year. Dental, $4.7 million compared to $4.9 million in the prior year period. And RCM, $18.6 million versus $16.7 million in the prior year period. Moving over to segment operating income, excluding R&D. Ambulatory, $43.6 million compared to $40.2 million 1 year ago. Hospital, a loss of $1.3 million compared to -- it's an improvement from a loss of $2 million 1 year ago. Dental, $1.4 million compared to $1.8 million last year. RCM, $2.7 million compared to $2.9 million 1 year ago. Moving on to our noncash expenses for the quarter. Amortization of capitalized software, $3.5 million. Amortization of intangible assets, $1.8 million. Depreciation expense, $2.1 million. Stock comp expense, $0.8 million. Investing activities, internally-generated capitalized software, $3.5 million. Fixed assets, $2.3 million. Now thank you all for your interest in our company. I'm going to turn things over to Mr. Dan Morefield, our EVP and COO.
Daniel J. Morefield: Thanks, Paul, and hello, everyone. As I did last quarter, I can once again report that the ambulatory division has achieved another record revenue quarter. The most notable categories increasing this quarter were system sales, implementation, EDI and maintenance. Our continued client additions and existing client acceptance of our add-on solutions are the primary driver of the increased maintenance revenue. Gary Voydanoff will offer highlights of the system sales performance later on in this call. I would like to take a moment to highlight some products that are allowing our customers to prepare for key requirements of the new health care delivery models. In August, we announced that NextGen Share has achieved full accreditation with the Direct Trusted Agency Accreditation Program from directtrust.org and the Electronic Healthcare Network Accreditation Commission as a health information service provider's solution. Since the original launch in June, over 300 practices have adopted the NextGen Share solution and are moving through the implementation process. In addition, we have entered into directory sharing agreements with other organizations that give our practices access to over 100,000 other Direct-ready providers. In July, our Patient Portal team launched a new website with a completely new UX. In conjunction with that release, we also launched the mobile version of the portal to bring the portal services right to the patient's handheld device. This refresh has been met with positive -- with a positive response. We are currently on-boarding roughly 400 practices per month and approaching 1 million patients per month. In addition, we are currently on track to deliver 1 million patient health records this month and see that increasing in the months coming. Mirth continues to contribute positive results for the company. I'm happy to report that the first year's results from this important acquisition have met or exceeded all major expectations. Moving on to Hospital Solutions. The Hospital Solutions Division experienced flat top and bottom line performance, while continuing to deliver on commitments to its customers. Our overall headcount in the division continues to decline as we aggressively manage the overall G&A expenses. The division successfully completed the upgrade process for all clients that have NextGen Inpatient Clinicals to our MU certified software version 2.6. Our clients report that they have been focused last quarter on the Meaningful Use attestation process. Lastly, the division closed another hospital opportunity last quarter displacing a competitor based upon strong references of our surgical scheduling functionality. We are having more success selling standalone surgical management and NextGen emergency department applications. These products have begun to add to the sales pipeline and have a track record of improved workflow and superior ROI for our clients. Switching to the Dental division. We continue to have a strong enterprise adoption of our QSIDental Web SaaS product. QSIDental's largest customer, Pacific Dental Services, has chosen to migrate its 400 offices to QSIDental Web. Pacific Dental Service has been a valued client of QSIDental for over 20 years. Having our largest client migrate to our QSIDental Web product is an important milestone in moving our dental clients to cloud-based products. I'm very pleased with this momentum. Additionally, during last quarter, we formed a strategic partnership with Patterson Dental Supply Incorporated, a leading distributor of dental products, equipment and technology in the United States and Canada. Under the partnership agreement, QSI will leverage Patterson Dental's special market division sales force to establish a new line of business using QSIDental Web for their dental group practice customers, thereby increasing QSI's footprint within the large group dental practice segment. With that, I'll turn the call over to Monte Sandler.
Monte L. Sandler: Thanks, Dan. Good morning, everyone. RCM Services revenue for the second quarter was $18.6 million, resulting in a 4% increase over last quarter and an 11% over prior year. We have strong quarter of bookings, which will be further commented on by Gary and his comments. Our backlog of signed deals unimplemented remains strong and our pipeline continues to grow as our customers in the overall market better understand how we can help them optimize their revenue. While we saw a decline in fiscal '14, we have a consistent uptrend in booking margin over the past 4 quarters as our prospects better understand ROI they realize in our solution. We're continuing to invest in the marketing of RCM Services, both through our existing ambulatory customer base and the market at large and our overall company messaging now includes RCM as a key component of our products and services. Finally, as I indicated last quarter in my prepared comments, we continue to gain more experience and make a positive impact in the results of our first full-service hospital RCM engagement. Expect us to continue to pursue these opportunities within our existing NextGen hospital customer base and the small rural hospital market at large. I remain excited to bring this service to market with a focus on helping our hospital customers optimize their revenue and maximize the use of our hospital software similar to what we have accomplished on the ambulatory side. We have some exciting new service offerings that we will be bringing to market over the next 2 quarters that will no doubt help our customers better manage their businesses and create new growth opportunities within the NextGen customer base. I remain optimistic about the direction of RCM business and continue to feel confident that our tailored RCM Services, driven by people, process and technology make us a great solution to help our customers successfully navigate the complex and ever-changing health care environment. Thank you for your time and interest in our company. I'll now turn it over to Gary.
Gary Voydanoff: Thanks, Monte, and good morning, everyone. Well, we reached the halfway point of fiscal year '15 and as you've already heard this morning, we have a lot of positive news to report. We continue to respond to the challenges in our industry and execute on the plan to cross-sell our diverse product mix. This past quarter, each division contributes to our success and our ability to sell Mirth and RCM products into the ambulatory client base drove the attainment of our goals. We now look forward to our annual NextGen user conference, November 2 through the 5th in Las Vegas. Once again, we'll have the opportunity to meet with over 4,000 clients to provide dozens of educational workshops on our existing products, provide hands-on training on our entire product portfolio, promote our upcoming enhancements to our core PM, EHR, Patient Portal, EDI and population health products, expose our clients for the first time to our new iPad application and our NextGen Now platform, formerly known as NG7. We'll continue to educate our ambulatory and hospital clients on the Mirth technology staff. Our Mirth hospital and dental clients will once again join us as the conference expands to promote education and products across all of our divisions as well as give clients the opportunity to visit with dozens of vendor partners that have complementary products. In July, we launched -- we announced the launch of our first joint Mirth NextGen product release called NextGen Share, a nationwide interoperability solution connecting clients and non-NextGen providers to support secure clinical data exchange. In August, we announced that NextGen Shares achieved full accreditation of the certified health information services provider or HISP from directtrust.org and the Electronic Health Care Network Accreditation Commission. Not only will NextGen Share allow our clients to meet Meaningful Use Stage 2 objectives, but it will serve as a foundation of our collaborative care and data monetization strategies moving forward. The combined strength of the Mirth staff, the NextGen reputation and client base is leading to increased opportunity and solid results. For the second consecutive quarter, Mirth enjoyed increased revenue growth, led by their contract award from the state of Arkansas, Office of Health Information Technology to deploy the Mirth HIE. The market to cross-sell Mirth into the NextGen ambulatory and hospital-based continues to grow with many new transactions executed this past quarter in the NextGen base. Of particular note was the Mirth HIE transaction with CareMore Health Plan, where the Mirth staff will be deployed as part of CareMore's collaborative care strategy. Finally, we are pleased to note that the Mirth chronic care -- Mirth Care chronic disease and care management platform was successfully deployed at Crystal Run Healthcare, one of our foundational ambulatory practices with over 300 providers and considered a national leader in health reform. Mirth Care will be an important part of our population health management strategy moving forward. The RCM market is being driven by a number of factors, including ICD-10, shrinking physician reimbursements, increasing operating cost, shortage of talent and the substantial rise in patient pay responsibility. The sales and marketing teams are presently putting a heavy emphasis on RCM lead generation in both the ambulatory and hospital based to take advantage of these trends, drive increased pipeline and net new sales. We enjoyed a solid Q2 RCM sales performance led by the announcement of our 10-year agreement with Capital Women's Care, one of the largest OB/GYN practices in the mid-Atlantic region with 45 locations and 178 providers. We follow that up with another very significant enterprise sale in September to Tenet Healthcare, a long time EPM and EHR client. Our strong base of federally qualified health centers has proven to be a fruitful market for RCM Services and that continued this past quarter with a noteworthy sale to Jordan Valley Community Health Center. These notable sales demonstrate that the demand for RCM Services in our base remains strong and they're responding to the unique tailored solutions that RCM Services offers. I would like to talk about the large wins. It's also important to note that we've seen a solid improvement in RCM sales in our small practice market, proving that we can provide RCM solutions across the spectrum of practice sizes and specialties. We hope to expand our RCM offering in the second half of fiscal '15 with the inclusion of a new set of clinical services designed to improve the productivity and the workflow of physicians. These clinical services represent a blend of technology and people to provide better clinical outcomes, satisfaction and improved revenue cycle performance. The success of the ambulatory division in Q2 is driven by a strong mix of inside and outside sales, new and existing client purchases. The quarter featured a strong mix of traditional license sales, Patient Portal, Population Health, EDI interfaces and services. As we've said previously, the move toward value-based medicine is driving interest in NextGen Population Health and our Mirth collaborative care tools. This past quarter was highlighted by Population Health sales in both license and SaaS models to significant clients like Centegra Primary Care and Trinity Health. One of our premier group practices, Mount Kisco Medical Group, announced that they will be forming -- joining forces with Mid Hudson Medical Group and the resulting organization will represent over 450 physicians and 100 mid-level health care providers. As a result of that merger, we are pleased to report that Mount Kisco Medical Group executed a significant transaction with NextGen to expand the use of our software and services into the combined organization. In September, we were pleased to add Gila River Healthcare Corporation to the NextGen Healthcare family. Gila River Healthcare provides a wide variety of inpatient, primary care and specialty services to the Native American community in the Phoenix area. We look forward to working with Gila River to improve the quality of care in the community through the deployment of a wide variety of NextGen technology and services. Q2 also result in several additional important sales, including Riverside County Community Health Agency, SUNY College of Optometry and the Columbus Health Department. Finally, I would like to mention that our longtime VAR partner, GBS, expanded our relationship with a significant investment in NextGen software, and we look forward to continuing to support their growth in the ambulatory and inpatient markets. As I stated at the outset of our call, we had a solid performance across all divisions. Our dental team has worked arduously for many months in executing the important contract-specific dental services in September to implement our QSIDental Web product. Pacific Dental Services has hundreds of affiliated offices across 10 states and has plans to add many more in the coming years. QSIDental Web is a true cloud-based platform that we look forward to continue to enhance with the Pacific Dental team and we look to promote RCM dental services on this platform in the coming months. Wrapping up our call this morning, I'd like to report that our combined division pipeline remains solid and sits today at $161.8 million. The company executed 96 new arrangements on a consolidated basis versus 95 last quarter. Sixty-one percent of the arrangements were greenfield, 39% are replacements. Discounting did not materially change in the quarter. And as of September 30, 2014, there are 134 quota-carrying sales and management positions. There was no material increase in the staff -- sales staff over Q1 of fiscal year 2015. And with that, I'd like to thank you for your time and continued interest. Lori, I'd like to turn it over to you for questions now.
Operator: [Operator Instructions] Your first question comes from the line of David Larsen of Leerink.
David Larsen - Leerink Swann LLC, Research Division: Can you maybe just talk about the hospital, the inpatient division please? Like where do you stand in terms of streamlining the software? What has the feedback been on clinical version 2.6 so far? And when do you expect that division to return to profitability?
Daniel J. Morefield: David, Dan Moorefield here. Let me sort of address each of those as we go forward. First of all, the -- the response to 2.6 has been relatively good. And as I've said earlier, every one of our inpatient's clinical clients have now upgraded and most of them were very, very busy last quarter in the Meaningful Use attestation process, and we look forward to seeing some of those actual attestations come through. On an ongoing basis, we continue to be looking at where we want to go and why. As we've said before, we have contractual obligations that we're meeting. We have some backlogs that we're meeting and it's a continued focus on the overall cost structure as we look at opportunities. Certainly some of the things I mentioned earlier become important and that is as sort of the overall clinicals financial stack sales slow down, we are selling much more standalone emergency department type of software as well as our surgical scheduling software, and we're beginning to see traction among these, as well. So it's a little bit more of the same but with the right trend lines.
David Larsen - Leerink Swann LLC, Research Division: Great. Gary, did you mention how many new hospital deals were signed in the quarter?
Gary Voydanoff: No, I didn't provide any update on that. We had what I would call a decent performance in Hospital in the past quarter, and -- but nothing in particular on the number of those. We just provided the overall number as we normally do.
David Larsen - Leerink Swann LLC, Research Division: But you are signing new clients, is that correct? In the hospitals?
Gary Voydanoff: We have signed new clients and as Dan pointed out in particular, the area of the standalone ED and ASC products, ambulatory surgery center products are where we're seeing interest these days.
Operator: Our next question comes from the line of Glen Santangelo of Crédit Suisse.
Glen J. Santangelo - Crédit Suisse AG, Research Division: Just a couple of quick questions. First, and you might have given this number, so I apologize. When we look within the ambulatory business, did you sort of comment how much of that was just sort of increasing wallet share with your existing customers and cross-selling some of the new products? And how much of that was actually new customers in the quarter?
Gary Voydanoff: Dan, this is Gary. I'll just say that we had a very nice mix. We had some outstanding new systems sales, as I mentioned, with Gila River and Riverside and Columbus Health Department. We had several -- SUNY Optometry, a very large network in upstate New York. So we had a nice mix of selling to the existing base. The tools like Patient Portal and Population Health, and continue to sell well our EDI services and expand that.
Glen J. Santangelo - Crédit Suisse AG, Research Division: And just maybe to follow-up on RCM. I mean, I know we've talked about this as being a growth opportunity in the past and it seems like you put up another quarter of decent revenue growth. But when I look at the operating profit from the business, it was down year-over-year. I'm wondering if you can just give us a little more detail around that.
Monte L. Sandler: Glen, yes, this is Monte. So in my prepared comments, I referenced the uptick in booking margin. It takes a while to implement and realize revenue on new business. And so I think -- so some of that downtick in margin is attributed to previous sales. We are seeing the uptick in more recent bookings. So I think that's positive news. And we continue to make investments in the business to grow it, to get the word out and just the overall support of our clients.
Glen J. Santangelo - Crédit Suisse AG, Research Division: And maybe if I could just ask 1 last follow-up to Steve. Steve, it kind of seems like know you're talking about 9 quarters in a row of building the pipeline and pretty decent bookings execution over the past several quarters. I mean, why the reluctance to still provide guidance at this point? Maybe -- what are you waiting for, I guess, to maybe give investors a little bit more clarity in terms of where you think that company can get to over the balance of the year?
Steven T. Plochocki: Well, Glen, we're sitting here now in our third quarter, here in October. We have -- we're continuing to build momentum. We're starting to have more visibility into future quarters. And it's probably not unreasonable to assume that we won't provide guidance for our upcoming fiscal year, which will begin in April of 2015. For the most part, as we have said historically, directionally, we're in line with the consensus view of the sector.
Operator: The next question comes from the line of Michael Cherny of ISI Group.
Michael Cherny - ISI Group Inc., Research Division: So I want to dive into the new contract arrangements in the quarter. I think it was 94, in the 90s range, which you had said. So you saw bookings up by a dollar basis. I would think that's a fewer number of new engagements than you typically had. So, but simple math, it seems like some of the deals are getting bigger. Can you maybe give a comment on what you're seeing from a deal size perspective and what could be driving some of those larger average deals or is that skewed by maybe 1 or 2 that may be in the bookings number?
Gary Voydanoff: Michael, it's Gary Voydanoff. I think your observation is correct. We had deals really across all size ranges. We had, as I had mentioned, on the RCM side, a very nice contract with Tenet, which is a very large health system, a nice enterprise deal. It was large. And then on the ambulatory software sales side, we had a nice uptick over the summer months and a few very large deals. But we also saw a good mix even in the middle part of the pipeline. Those deals that are in the $250,000 to $500,000 range that, again, help support that good quarter. So again, I would say it's just a very strong mix across all kind of price segments and the types of opportunities we've had. I think 8 quarters ago, when we -- this team started working together, the mantra was "we really have the work hard to cross-sell" and that continued as we brought Mirth to the fold last year. And now in particular, that's where we're starting to see traction as the sales team starts to understand the value of the Mirth products, the difficulty folks are having with interoperability. And so now we're starting to see the uptick of those and I'm excited as we go into our UGM just from the fact that we have so many, just opportunities with our clients that are already being booked to discuss Mirth and the kind of products that they can introduce into their environments.
Michael Cherny - ISI Group Inc., Research Division: And just maybe quickly on the Tenet contract because you did bring that up, and obviously, a very notable customer. The Tenet recently, or at least the Conifer subsidiary, made an acquisition of a company that I know works closely with you guys and SPi Healthcare. How does that arrangement have any impact related to the go-forward relationship there? And did your relationship with SPi's provider have any input on the expansion of the revenue cycle side?
Monte L. Sandler: Michael, this is Monte. So Tenet's a longtime customer of NextGen. Been using our products for quite a while and sees the value that RCM Services can deliver. We actually -- this agreement this quarter was in 2 different markets, so we're really excited about that. And the indication is that there remains to be upside opportunity in the future within Tenet for RCM Services. So right now, we don't anticipate that Conifer's acquisition has any impact on our opportunity, and we're focused on delivering results and showing the value that we bring.
Operator: Next question comes from the line of Jeff Garro of William Blair.
Jeffrey Garro - William Blair & Company L.L.C., Research Division: I want to ask about Meaningful Use Stage 2 attestations. It took some time but now looks like your clients have achieved Stage 2 and successfully attested to some degree. So I want to ask what the biggest hurdle was for clients to meet the Stage 2 requirements and what will it take for your sizable user base to catch up to some of your smaller competitors in Meaningful Use Stage 2 attestations.
Daniel J. Morefield: Hi, this is Dan. Let me take a start at that. First of all, the Meaningful Use 2 attestations, the key requirement is that our customers upgrade to the newest version of accredited software. That has taken a good deal of time for our customers to do. Our customers tend to be large and complex and take a good deal of time to prepare and execute these upgrades. Additionally, the changing Meaningful Use environment has created some confusion around our customers upon when they need to upgrade and the process associated with that. But what we're seeing now is a -- well over 60%, 65% of our clients have upgraded and are in sort of the process of stabilizing on this level of software and working toward the track of Meaningful Use attestations. So we see that as a continuation. We would see that accelerating over the next 3 to 6 months.
Jeffrey Garro - William Blair & Company L.L.C., Research Division: Great. And is there any metric you can give for clients that have upgraded for longer than 3 months, longer than 6 months and their success rate attesting?
Daniel J. Morefield: I have no such metric available, but I would have -- I also have nothing to indicate that there would be any concerns or issues with the ability to do so.
Jeffrey Garro - William Blair & Company L.L.C., Research Division: Got it. One bookkeeping question. I was just wondering what was the year ago pipeline dollar amount that's comparable to today's $162 million number?
Daniel J. Morefield: Hold on, we're looking it up to see if we can get it for you immediately. And if not, give Paul a call, and we'll get it for you later.
Operator: Our next question comes from the line of Dave Francis of RBC Capital Markets.
David K. Francis - RBC Capital Markets, LLC, Research Division: I'm trying to figure out where in the model at this point, given your move toward more services-heavy revenue, where is the margin leverage likely to come from for you guys going forward as you look at both the maintenance line and the RCM line from a gross profit perspective, 2 of the most important? We continue to have trends down and I understand the putting on of new business in RCM and depressing things, but I guess I'm trying to figure out as you get back into a revenue trajectory that's north rather than south, where does the margin leverage come from?
Daniel J. Morefield: I'll start again and a couple of the pieces on the margin leverages. First of all, as we see Mirth expand, we believe that the margins on our overall Mirth book of business will contribute positively to the overall margin trends of the organization and early indications would support them. Monte talked about the expansion of margin opportunities on the RCM side, and we continue to be focused on that, while balancing the need for continued investment into the overall world. Paul talked a little bit about the issues surrounding R&D capitalization and the impact on margins should we have the ability to greater capitalize some of our R&D expenses at least back to some of our historical levels would have a material impact on margins from a non-GAAP perspective. Additionally, we continue to look aggressively at optimizing our overall expense structure. We've talked about that in the past. We've actually been very successful in taking costs out. And as we've said before, we've been willing to reinvest those savings into growth areas and we'll continue to do so. Little things such as the great work that's been done on managing our accounts receivables and bringing our DSOs down has had twofold, 2 impacts. The one impact has not only been the ability to generate a great deal more cash for the balance sheet, but in addition to that, effectively managing those has resulted in a lower bad debt expense as well and that's, again, directly impacting margins. And these are pieces we continue to look at and aggressively manage over time.
Paul A. Holt: This is Paul. I would just add to that, that look, on a sequential basis, we had a slight uptick in our gross margin. And I think, overall, the commentary also should -- you can't take away from the fact that we've had a fairly dramatic shift in our revenue mix over the last 1.5 year that's inevitably going to have an impact on margins. Now that shift has started to stabilize and consequently, you didn't see a decline in sequential gross margins this quarter past quarter. And I think driving some of those areas that Dan had talked about as well as leveraging expansion of subscription in SaaS revenue streams and gaining some leverage -- operating leverage there, I think also can help us drive that metric higher. And there's a little bit of a quid pro quo here in that, while we've had that shift in margins, we're also driving towards the greater amount of recurring revenue streams that are a lot more sustainable and not necessarily subject to the vagaries of what you sold this -- in your quarter.
David K. Francis - RBC Capital Markets, LLC, Research Division: That's helpful, and I'll dig in offline. Let met follow-up with NG7 or NextGen Now. As you guys start to roll this out in the next couple of weeks and the initial applications, who are you going to be selling this to? I mean, you've just rolled out the new upgrade of 5.8/8.3 over the last year to your installed base. Is it your expectation that those guys are going to be quick to flip over to the web-based version of the solution set? Or are you looking at new customers or kind of how are you looking at the market opportunity for NextGen Now?
Daniel J. Morefield: Sure. This is Dan. And I'll just take a quick moment to remind everybody about what we said about NG7 and then specifically address your questions. We have said in the past and continue to say that we will roll off our first product off an NG7 platform. That product will be a full EHR position for the small doctor practice, and we are building this product to be an enterprise-level product over time. But again, with the first product coming out, we'll be focused on the small doctor practice. Cloud-enabled SaaS pricing, we expect to demo it in a couple of weeks at a user group. It's powered by a combination of both NextGen and Mirth technologies. We expect to be in beta later this year or early 2015, and we'll have limited availability in the first half of 2015, with full general release in mid-2015 for the small primary physician group. The full GR product is expected to be Meaningful Use compliant and ICD-10 ready. It will also support RCM capabilities. And so the direct answer to your question is do we expect a great deal of flip over on the early start of this? No. This will be principally driven at a -- on the initial rollout for the small primary physician group practice.
Operator: The next question comes from the line of George Hill of Deutsche Bank.
George Hill - Deutsche Bank AG, Research Division: I don't know if you guys addressed this part explicitly. But when you talked about the new business booked in the quarter and the pipeline as you look at it, can you talk about how much of it is coming from the current installed base versus the new footprints?
Gary Voydanoff: George, this is Gary Voydanoff. I guess, again, I would say it's a mix but we've done extremely well with our current client base. I think Paul was just talking about recurring revenue streams. So I mean that's driven by things like Patient Portal, our mobile applications that we're seeing uptake on. I mean, all of those are very strong sellers within our client base and again, the emerging trends towards Population Health are positive. So we're really looking forward to what we're going to see in terms of the uptake there, but strong opportunities still exist in the base with many of these products and then -- as well as the RCM side. I think RCM has traditionally been very strong in our client base and mainly client base sales but we continue to find opportunities for that as well outside of our own client base.
George Hill - Deutsche Bank AG, Research Division: Okay, that's helpful. And then maybe a combo question for Steve and Paul. I guess, Steve, it sounds like you guys are going to be comfortable enough to provide the fiscal '16 guidance may be at Q4 of fiscal '15 or Q3 of fiscal '15 when the time is right. I guess, I would say, did I hear you right that it sounds like as things stand right now, you think The Street is doing a good job modeling that near-term to intermediate-term period? And then Paul, I'd ask, you talked about the change in the revenue mix over the last 6 or 8 quarters. Have we kind of hit that inflection point where we feel like software sales and system sales have kind of come down to a normalized run rate and we're getting the inflection and the growth in the services businesses where aggregate revenue growth should be pretty visible?
Steven T. Plochocki: Well, first, this is Steve, George. It is our intention based on where we're at today and based on the visibility that we're starting to have and to our different business lines and the momentum that we're starting to build in our different business lines. It's our intent to provide guidance for fiscal year 2016, which of course, would be at some point in our Q4 of '15. In terms of the directional guidance, I think when you take a look at our first quarter and now our second quarter, and you can see the run rates off of that, I think the only thing I could offer to you is that those run rates, we believe, are pretty stable right now and that they should be run rates you should be looking at with improvements going into the second half of the year. So that's all I can really offer on that. And Paul, is there any other color you want to give on that?
Paul A. Holt: Well, 2 pieces. So yes, it is true that we have seen some stabilization of that mix. What's a lot more consistent is the stuff that is more recurring. We've had very consistent kind of trends happening there in our more recurring revenue streams. But I think you cannot take away from the fact that the sale of software inside that system sales line is not as recurring. That is, you are more subject to what you're closing in any given quarter. And as we've had -- we've got a long history of doing this -- a few extra deals, you can be a hero. A few deals that push, you can be a villain real quick. Still, I think you have to have -- that caveat has to still be there and I think -- so let me just leave you with that. And the other piece, I think that also needs to be understood is that R&D expense and the investments that we're making there, that is not going to -- directionally, that's not going to change. We are continuing to ramp up our investments there and our commitment towards those opportunities around interoperability and population health. They're great investments for us to make, but they are driving up our R&D expense and I think that needs to be factored into anyone's calculations as well.
Operator: Your next question comes from the line of Mohan Naidu of Stephens.
Mohan A. Naidu - Stephens Inc., Research Division: To start with on Mirth. On the NextGen Share specifically, is that part of your Stage 2, your MU 2 release or is that sold separately to your customers?
Gary Voydanoff: This is Gary. Well, it's not bundled in with the MU 2 release, but it's keyed off the MU 2 release version. So once clients have upgraded to that version, then they can pretty easily upgrade to or add share to their system.
Mohan A. Naidu - Stephens Inc., Research Division: Great. And on the revenue on that one, it's just a purely licensed model, not based on the amount of records they share?
Gary Voydanoff: It has nothing to do with the amount of records that they shared. It's really just, today, an interoperability platform that we're using to connect our clients. So our goal from beyond that is to find additional ways that we can then begin to monetize transactions, frankly. And we've already got some of those things that -- some of those opportunities that we've signed partnership agreements with and we're looking at others in the future.
Mohan A. Naidu - Stephens Inc., Research Division: Awesome. One quick question on the inpatient segment. You talked about -- Dan, I think you talked about getting more standalone surgical and emergency department solutions in. Does that mean that you're not seeing enough greenfield replacement customers on your core electronic health record for that segment?
Daniel J. Morefield: I think that it was an indicator of where we're seeing growth and where the greater amount of potential short-term revenue and bookings growth opportunity will come from.
Operator: Your next question comes from the line of Ricky Goldwasser of Morgan Stanley.
Ricky Goldwasser - Morgan Stanley, Research Division: A couple of questions here. So with the Mirth acquisition anniversary-ing this quarter, any thoughts of kind of like what your appetite is like for making additional acquisitions? And if so, what areas would you be interested in?
Steven T. Plochocki: As we have -- This is Steve. As we have long stated, we are always looking to add additional product and service offerings that supplement or complement our existing base. We've also indicated that RCM is one area that we're looking to add as well as the areas of analytics and any other complementary sort of business line that could give us an additional boost to provide not only our installed base but our new customer base the product and service offerings that they're going to need as they move into the modern era of health care. So yes, we are constantly looking for that. We indicated, I think, a few quarters ago that we brought in an Executive Vice President for Corporate Development and Strategy, who's dedicated solely to looking for opportunities for us in this area, and we haven't had that in the past. So we are making proactive steps towards looking towards additional acquisitions.
Ricky Goldwasser - Morgan Stanley, Research Division: Okay. And 1 follow-up question on the margins. I know it came up a number of times in the call. But when we think about kind of like the RCM margins and hospital RCM margins, given contracted trends that we've seen in the last few quarters, is it fair for us to think about this kind of like new margin, new customer mix that you're bringing on is just inherently lower margin and that's how we should think about modeling that business?
Steven T. Plochocki: Operator, we're having a difficult time hearing that caller. I don't hopefully -- it's not at our end. Maybe it's at the caller's end. Maybe the caller can repeat that question please?
Ricky Goldwasser - Morgan Stanley, Research Division: Yes, sure. Can you hear me now?
Steven T. Plochocki: Yes.
Ricky Goldwasser - Morgan Stanley, Research Division: Okay, great. So the question was really a just follow-up on the margins, on kind of how like -- and we should think about hospital RCM margin. I know you've talked about the customer mix shift and we're just trying to understand whether we should think about when we model about that, that RCM margins as being kind of just inherently low now because of these new customers, your opportunities to expand those margins and ultimately, to reach to that kind of like 30% goal that I think you talked about on your Analyst Day.
Monte L. Sandler: Ricky, this is Monte again. Thanks for repeating that. So we remain focused on the margins in the business, and as I mentioned in my prepared comments and stated earlier, we saw a downward trend in booking margin several quarters ago. And when you think about the implementation of RCM Services, it's recurring revenue that builds over time. And so as we implement that business from several quarters ago, we realized some of that downtick. However, as we measure a booking margin on a quarterly basis, we have seen a continued uptick over the last couple of quarters. And so we will realize that uptick in future quarters as we implement that business. So that's 1 comment. I think the other comment I would make is we're always focused on margin expansion within the RCM business. And we look to technology in many ways to do that. And today, our business remains a highly people-focused service business because of our full service and tailored solution and the level of service that we provide to our customers. We work very closely with our development group to find ways to leverage technology in better ways. And looking out even further as we talk about NextGen Now and the development of that platform given that it is cloud-enabled, it's multitenant, we will realize significant benefits from -- on an RCM service perspective, in managing our client base in that sort of a platform. And so I give you a few thoughts both kind of short term and long term from an RCM margin perspective.
Operator: Your next question comes from the line of Gavin Weiss of JP Morgan.
Gavin Weiss - JP Morgan Chase & Co, Research Division: I just wanted to touch base on the Patterson partnership that you announced earlier this week. How many people in their sales force will now be selling for you? What is the training that those people are going to receive? And is there any opportunity to take costs out from your expense structure as a result of their sales force working on your behalf?
Daniel J. Morefield: This is Dan Morefield. Patterson has a sales force of over 1,400 sales representatives today. So we continue to work with them on the specific details of the subsegment of their sales team that will be very much focused on the large group, dental practice space. So the exact number of salespeople are not yet determined, and we're in the process of planning out the cross-training, the product training, the go-to-market marketing strategies with their team. We don't expect there to be a material margin or a material ability to take out cost of our small dental sales team. We see this as an expansion of our ability, of our sales team, and so it is really one where we see the ability to leverage someone else's sales team, not really one where we would limit or reduce our sales efforts directly.
Gavin Weiss - JP Morgan Chase & Co, Research Division: Okay. And then this is just a nit picking one for Paul. Since you started reporting adjusted earnings, the expenses that you take out every quarter seem to change. Can you just give us some color as what the other non-run rate expenses were at this quarter? And why you felt that it was appropriate to exclude them?
Paul A. Holt: There were some items related to a -- that other piece was a restructure-related item around some shrinkage. As we've talked about, we've been reducing headcounts in the hospital unit there and there were some restructuring expenses related to that as well as getting out of some space that we had occupied. So that, we felt, was not necessarily -- is something that is normal recurring in nature. So that was -- that's what happened there with that non-GAAP piece.
Operator: Your next question comes from the line of Donald Hooker of KeyBanc.
Donald Hooker - KeyBanc Capital Markets Inc., Research Division: So when I think -- nice bookings growth year-over-year in the September quarter. And you call out the Population Health and the Mirth as an area of growth. Is Mirth accretive to that sort of growth rate? How do we think about Mirth contributing to that, the bookings growth?
Daniel J. Morefield: This is Dan. What we -- first of all, we have not, in the past, and I don't think it's our intent to break down the specific subsegments of either our pipeline or a bookings number. What we -- we've said a couple of things. We've said that the overall organic growth in ambulatory continues to be at a record level even before we factor in the growth associated with Mirth. We have said that the expectations that we have for Mirth when we acquired them for the first year of performance, we have met or exceeded all major areas of -- or all categories. And so we're not really going to give much more than that, but it's one where we're pleased. It's contributing. It is not the single driver. As Gary and others have said, we've had success across the board in multiple product lines, and we've been pleased not only with Mirth but with RCM bookings growth, with core ambulatory bookings growth, with dental bookings growth, and we even had some nice bookings growth in the hospital space.
Donald Hooker - KeyBanc Capital Markets Inc., Research Division: Okay. And another area that was strong was that EDI revenues. I mean, I think you all referenced it a little bit but maybe that's worth a little bit of elaboration. That's -- it seems like growth there is accelerating. Can you maybe break that down so we can understand the strong growth there?
Daniel J. Morefield: Sure. Again, EDI, we find as a complimentary product. And as a strategy, about 1.5 year ago, we sat down and said why can't we sell EDI with almost every new arrangement and continue to cross-sell against our customer base. So what we are seeing from an EDI perspective is twofold: the expansion of products within the portfolio that we can sell across, and the continued cross-sell both in new originations as well as existing customer basis. And our team has done a relatively good job at being able to sort of keep costs down as we are able to drive some of the top line up, as well. And this all goes back to one of the strategies that we talked about. A good 1 year, 1.5 year ago of our philosophy of doing multi-product packaging sales, and the execution of that consistent with our strategy of making our sales organization across division unit to be able to effectively sell multiple products to the same client.
Donald Hooker - KeyBanc Capital Markets Inc., Research Division: Okay. This is a cross-selling into the base. And maybe just real -- one last one. I mean, is there -- should we think about this as sort of a penetration rate around EDI? I mean, are you sort of -- how long should we think about this continuing to grow at this rate?
Gary Voydanoff: This is Gary. Let me just add some color and take that one. So not only is it a penetration rate within our existing base and working with not only of our own EDI product ViaTrack but a couple of really strong partners. So there is opportunity to continue to penetrate the base, but it's adding, with net new sales, but we've also been successful with our ViaTrack product in selling outside the NextGen base. And so I think that's a key differentiator in an area we want to continue to look to grow.
Operator: Our next question comes from the line of Bret Jones of Oppenheimer.
Bret D. Jones - Oppenheimer & Co. Inc., Research Division: Dan, I want to circle back on the bookings. You talked about record ambulatory bookings growth -- or not growth, but I guess as a static number, as a record number. That kind of surprised me given how far off NextGen software sales have been. So can you just give us a sense for -- is this primarily driven by Patient Portal because we're talking x Mirth, is that right?
Daniel J. Morefield: Bret, let me make sure I clarify my statements. What I indicated was the core ambulatory revenue outside of Mirth was at an all-time high. I apologize if I led you to believe that the bookings number for ambulatory was at an all-time high. I don't necessarily have that information in front of me so I can't either confirm or deny that.
Bret D. Jones - Oppenheimer & Co. Inc., Research Division: Fair enough. I just want to make sure I heard correctly. But I appreciate you clarifying that. I wanted to circle back on Implementation revenue as well and just get a sense for -- it was up quarter-over-quarter. How much of this is tied to sort of the version 2.6 inpatient upgrade? And also, the upgrades there, the Meaningful Use 2 upgrades on the ambulatory side maybe that won't be recurring? And do you have enough sort of backlog to fill those requirements as those heads roll off?
Daniel J. Morefield: So again, Dan here. The bulk of our implementation revenue for ambulatory comes in the notion of implementing new net customers to the company when they roll on and basically implement our software for the first time. The second big bucket is of course, the issue of Meaningful Use 2 or 5.8/8.3 upgrades. So what we have seen as we certainly have a nice bump in that earlier in this year and we believe, I think, that as the market has said as a whole, that those -- there will be some correlation with those with the continued upgrade with our clients. Now what we've said is that our clients, we will upgrade a little bit at a slower pace and a steady pace, which, for us, maybe means a little bit of delay of the revenue, but also should give us a better ability to manage the margins instead of trying to deal with large spikes and troughs associated with the demand for services.
Steven T. Plochocki: And if I could just add to that, this is Steve. You've got to remember, we're in Stage 2 now and Stage 2 is simply at the very early stages. We know ICD-10 will be operable and active in the marketplace by next October. And then on the heels of that, you have Stage 3 and ICD-11. So the concept of peaks or valleys and implementation and training are probably not going to be that substantive for that, at least for the next 3 to 4 years. I mean we are going to continue to have to implement and train, upgrade and enhance as we continue to roll out these varied stages and the ICD-10 and ICD-11 coding upgrades.
Paul A. Holt: And this is Paul. One last thing, just to add on that. Notwithstanding all that, we do have typically the December quarter only around implementation and training services. You do see some as a result of the holidays and user group meeting. We typically see some amount of softness there that then bounces right back. So there's -- if we -- I've been asked over the years, "Do you have seasonality?" We typically do not, with only 1 minor exception, that's around -- that area that occurs around the December quarter.
Operator: Your next question comes from the line of Sean Wieland of Piper Jaffray.
Sean W. Wieland - Piper Jaffray Companies, Research Division: If you were to broadly segment your business into the 2 categories of hospital-owned medical groups versus nonhospital-owned or independent medical groups, can you talk about any trends that you're seeing with respect to those 2 segmentations in the marketplace? And in particular, maybe the Tenet deal aside, trends you're seeing on revenue cycle there?
Gary Voydanoff: Yes, this is Gary. So the trends we're seeing again is, I think, while we have a large number of hospitals that are within our base, probably about 300 that have a good subset of ambulatory physicians associated with them, we have an even larger segment of physicians that are in large group practices that continue to consolidate. So that's 1 of the trends that we're seeing. So I mentioned Mount Kisco. I also mentioned Crystal Run Healthcare. I could mention a number of our large and very successful and happy multispecialty provider groups are continuing to grow. And so that's going to, we think, continue to drive license sales and additional product sales there. With respect to RCM, I think the same things are happening. Those same groups, as they're growing and consolidating, are looking at their operating costs and all those trends that we see happening. They are driving RCM sales from ICD-10 to any number of things. So those groups are continuing to grow and grow in scale and so that's when they really start taking a look at RCM because that -- as they add 100 or 50 new physicians to their groups, they don't want to add additional staff to grow the back end to do the billing. So we're looking forward and we think that's a positive trend for us.
Sean W. Wieland - Piper Jaffray Companies, Research Division: So just to confirm what I think I'm hearing is that you're saying that within the marketplace, you're seeing greater consolidation and expansion on the independent medical group side versus the hospital-owned medical group side, is that correct?
Gary Voydanoff: Well, I'm not saying there's probably one greater than the other. I think they both continue, but I think the one that gets a lot of focus, obviously, is the consolidation on the hospital side. And a lot of people tend to forget that the large group practices are a force and a growing force in health care right now, and that plays into our sweet spot, as well.
Sean W. Wieland - Piper Jaffray Companies, Research Division: Sure. Okay. And then one quick one on the Tenet deal. I mean, was that a competitive bidding process or bake-off against versus Conifer?
Gary Voydanoff: Again, this is Gary. I can speak to the history of that a little bit. I'll just say that they have had a number of different solutions in their environment through the years. And as they looked at those solutions, they decided that it was time for a change and a consolidation and because we had been successful helping them deploy our EHR and PM systems through the years, I think we were a natural choice. I wouldn't say it was not competitive though because those existing vendors wanted to maintain that business. So it was a long process and I would say, yes, it was competitive and those were the reasons behind it.
Sean W. Wieland - Piper Jaffray Companies, Research Division: And how many providers does that cover?
Gary Voydanoff: Monte, do you know?
Monte L. Sandler: I think it's a few hundred.
Gary Voydanoff: A few hundred is our estimate right now.
Operator: Your next question comes from the line of Gene Mannheimer of Topeka.
Eugene Mark Mannheimer - Topeka Capital Markets Inc., Research Division: I just wanted to -- with most of my questions being answered, I wanted to dig a little bit on that multi-year bookings number you've provided. It looks to be up about 8% year-on-year. And I realize that's not an all-inclusive number. And I'm not sure why Capital Women's isn't part of that number. So when I think about the conversion of bookings to revenue, say, over the next 12 months, how can I -- what should I infer from that bookings numbers, say, 3/4 of it converts, 2/3? How should we view that?
Steven T. Plochocki: Gene, this is Steve. First on the bookings. I think Paul did indicate what the bookings number would have been if we included women's health. And the only reason we kept it separate was because we were -- we wanted to give you a cleaner read on prior year versus current year. I mean, clearly, when you have a 10-year contract that's worth $80 million plus and you throw that into the bookings, that pops the number up dramatically. So I guess if you want to throw it into the mix, we -- our bookings number was about $140 million, $150 million. And so that was the only difference there. It was such a big deal that had such a material impact on the bookings. I think he gave it to you in 2 steps just so that we could draw the correlation between prior year of comparability. But Paul, I'll turn that over to you then.
Paul A. Holt: Yes, well, Gene, I -- one way, very quickly, to be able to gauge that is you have the number that has the software and services with just the annual run rate. So now we didn't, but we haven't broken out how much of that is software versus services that you're going to see over the next year. But if you take the multiyear figure, which I gave for this quarter at $66.3 million, you, in essence, have the amount that would be in future years beyond the first year. The amount of bookings that we had that would exceed the first year. So I know that -- I mean, that's some color. It's not -- we haven't gone into the nitty-gritty here and broken it out between what software and what services. But I think as a gauge of the progression of our business, overall business and our sales activity, I think you're getting a pretty decent metric.
Operator: Your next question comes from the line of Eric Coldwell of Robert W Baird.
Eric W. Coldwell - Robert W. Baird & Co. Incorporated, Research Division: Mine also have been largely covered but I did want to come back to this R&D theme. If we excluded the incremental spend in R&D on a year-over-year basis, your earnings actually would have been up in the quarter. And I'm just hoping -- I know you're not going to give guidance at this point, but I'm hoping you can give us some directional color on where you think that R&D line might play out over the next 1, 2, 3, 4 quarters. Should we be thinking about the $17 million level as kind of the run rate or continued growth from here?
Paul A. Holt: Yes, this is Paul. I believe a couple of quarters ago, I gave out a metric that had us around a range of, at the time, I believe I said 13% to 15% of top line would be our -- that's what our R&D expense level would be expected to be. I would say just to add on to that color, as I said earlier in the call, I don't see -- the amount of investment that we're going to be making is going to increase, not decline. We're expanding our commitment to our product line and our investments in technology and opportunities that we see. So I think directionally and quantitatively, from a dollars perspective, you can expect to see additional dollars and in terms of how of much of that is reflected in expense, we've had -- given out a range of 13% to 15%. I'll try to update that if needed. This quarter, we were right around 14% so we've trended kind of right there in the middle of that range. But I also want to make it understood by people that, look, capitalizing or not capitalizing is more of an accounting exercise, not necessarily a cash flow exercise. And the fact that we capitalize more in the year ago period and capitalize less at this period, the fact that results in our earnings appearing to be dropping is really -- it's not necessarily a cash earnings drop, it's really more of just an accounting entry change. So I think folks need to be aware of that.
Operator: Your next question comes from the line of Sean Dodge.
David H. Windley - Jefferies LLC, Research Division: It's Dave Windley. A couple of follow-ups. I'm interested in the improvement in RCM bookings margin and wondered if, maybe Monte, you could comment on what has changed perhaps in the competitive environment that has allowed you to improve the margin in the bookings you're bringing in.
Monte L. Sandler: So this is Monte. Look, I think we continue to do a better job of selling value. I think as Gary's team continues to learn more about our offering, hear from our customers, understand either the full service, the tailored nature of the offering, I think that we are doing a better job of improving value. And I think that's largely where that uptick comes from.
David H. Windley - Jefferies LLC, Research Division: Is most or all of your focus in the existing NextGen base or are you also -- I mean, I guess what I'm getting at is, focused greater on the NextGen base, maybe a friendlier sale and a little bit better profitability or is that not necessarily the logic?
Gary Voydanoff: This is Gary. So I think, yes, you've hit on the main themes there. There's great greenfield opportunity in the NextGen base. And the other thing that I think is very helpful, particularly from Monte's standpoint, if they have our system in place, the ramp-up time's very quick and so we can begin generating revenue very quickly. So that's very positive for the company. But look, as we walk in the net new sales now, we have the team trained to look for what's the best opportunity there. What's -- is it an RCM service, is it a software sale?
David H. Windley - Jefferies LLC, Research Division: And then last follow-up going back to an earlier set of questions around the NextGen 7, NextGen Now, I guess it is called Now, how -- in the rollout in the small dock practices that you plan to target early on, does the rollout or shift of your dental practice base to a web-based, I think, SaaS-based product, does that inform you in any way about how we should expect the rollout of this NextGen Now to go?
Daniel J. Morefield: That's a great question and it's almost like I paid you to ask it. What I think we have been spending a great deal of time on is understanding both the development of the sale and the conversion of clients, on the legacy dental platforms toward our dental lab full cloud product. And understanding everything from pricing, how clients see it, how we sell it to new marketplace to how we develop it. And so we are taking a great deal of the learnings associated from that and applying them to the early stages of the NG7 first product and the ability to project what we think's going to happen and how we effectively manage that rollout. So there is going to be a great deal of correlations. They are different products. And in many cases, we've been -- or not in many cases, but we have been selling our dental SaaS product for a number of years consistent with what we expect out of the NG7. We started those selling to small practices and have migrated as the product has developed to selling to much greater and larger enterprise practices. We see that trend to be something we would expect with NG7 as it matures and as we build out functionalities and make it more of a enterprise-level application. But our intent is to use all the learnings from one across the other, both from how we deal with clients to how we develop.
Steven T. Plochocki: And just a little more color on that. We believe that the -- our dental cloud product as well as the NextGen Now, which will be available in the near future, are going to be intercepting some very critical tailwinds. First, on the dental side, it's no big secret that private equity investment and dental rollup is back. There's a lot of money going into the dental sector by private equity to do the rollups because nothing is more fragmented than the dental industry. This is perfect timing for us to take our cloud product into those ventures and materialize some good business opportunities. On the NextGen Now side, it's pretty clear in the marketplace that the greenfield opportunities that are available in the market are typically in the small practice area and then the replacement market, which has been cited by class repeatedly, which will occur over the next 2 years or so, is going to be in that mid- to small practice market as well, which will intercept beautifully with our NextGen Now products. We've got great tailwinds behind both of these product areas based on market conditions and market events presently. So we like our positioning there.
Operator: Your next question comes from the line of Garen Sarafian of Citigroup.
Garen Sarafian - Citigroup Inc, Research Division: I have a question on Stage 2 and then a follow-up clarification. Regarding Stage 2 attestations by clients, I realize it's extremely early and I know you said you're expecting some to come through in the next few months. But as they implement your certified software, just wondering at what point does having Stage 2 attested clients help in selling future business against those that don't? So I guess when does this start to matter when you sell this business?
Gary Voydanoff: Well, this is Gary. I think it's one of those things that folks look for in the industry to see how are you doing versus regulatory challenges. And so I mean, for us, historically, that's been NextGen's mantra. Let's be one of the first to get certified whether it was ICD-9, ICD-10, HIPAA transaction certification, and so I think that's traditionally what people have seen from NextGen. So they're pretty confident that we're always going to be at the forefront of certification, regulatory issues. And so I really don't think that it affects really our sales all of that much. I think everybody just expects that once those attestations start ticking up again, we're going to be where we have been in that top 4 or 5 vendor position as we always have, and it will keep us in a nice position with respect to net new sales.
Garen Sarafian - Citigroup Inc, Research Division: Okay. Got it. Just a clarification question on NG7. I know last quarter, you mentioned beta was expected later this year. But I thought -- did I hear correctly you're expecting beta later this year or early next year now? Or did I just misunderstand something?
Daniel J. Morefield: This is Dan. And again, we have traditionally said that beta would be late this year and we continue to see the earlier of our beta clients to being late this year and potentially expanding our beta group into early 2015.
Operator: Your next question comes from the line of Jamie Stockton of Wells Fargo.
Jamie Stockton - Wells Fargo Securities, LLC, Research Division: Maybe just a quick one. Gary, it seems like replacement deals are increasing as a percentage of the mix. What inning do you feel like we're in as far as the replacement market heating up? I'll leave it at that.
Gary Voydanoff: We've been very steady at about a 30% replacement clip. I think just last quarter, it was probably a bit of an anomaly. I think we just happen to have a couple of more replacements. I mean, I think that market is heating up. Others would maybe disagree, but I do see an uptick there. I just think the mix for us this past quarter was just that we had a few more replacements than we normally did.
Steven T. Plochocki: And if I could add to that, Jamie. Jamie, if I could add to that. Again, if you look at it historically, look at this year, when the government indicated at HIMS in February of this year, that there would be no more delays. In March, when the statistics came out that only 35 of the 377 Stage 1 certified products, only 35 of us had met Stage 2 certification, they've then invoked that 1-year delay until October of 2015. And what that translates into is that the complexity that smaller players are having in meeting these standards of Stage 2 and/or ICD-10. That's going to compound itself as this year continues and rolls into next year and that, I believe, is going to create great tailwinds for the replacement market that will flow rapidly into certified software companies like ourselves. Okay. All right. Well, thank all of you. Thank you very much for being with us. We appreciate spending the last 1.5 hour with you and going over all these areas. Hopefully, you can start seeing the trends, that we are starting to make great progress in all of our different business and product areas. We have tailwinds behind a lot of these product areas. And then, of course, we're enjoying the opportunity to give you more color and we will in the future on some of our new products. Our cloud-based dental product, which we believe is going to be a real contributor to us over the next few years. RCM Hospital, which will be another growing area. NextGen Now, for the small physician group practice, big contributor to the replacement market. We believe that, that's going to be a very, very strong component for us as well. So again, thank you very much for your support. We look forward to speaking with you in the future, and we look forward to seeing many of you on our travels. Thanks, again.
Operator: If you like to listen to a replay of today's conference, please dial (800) 585-8367 and refer to conference ID number 15061060. A webcast archive of this call can also be found at www.qsii.com. Please disconnect your lines at this time, and have a wonderful day.